Operator: Good morning, and welcome to Conifer Holdings’ Third Quarter 2022 Investor Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Brian Roney. Please go ahead.
Brian Roney: Thank you, and good morning, everyone. Conifer issued its 2022 third quarter financial results after the close of market yesterday. You can find copies of the earnings release on the company’s website ir.cnfrh.com. The slide presentation accompanying management’s discussion this morning is available to view or download via webcast or from the Investor Relations portion of Conifer’s website. Before we get started, please note that except with regard to historical information, statements made in this conference call may constitute forward-looking statements within the meaning of the federal securities laws, including statements relating to trends, the company’s operations and financial results, and the business and the products of the company and its subsidiaries. Actual results may differ materially from the results anticipated in these forward-looking statements due to various risks and uncertainties underlying our forward-looking statements, including risks and uncertainties associated with COVID-19 and its impact on the economy and on our business as well as those risks described from time to time in Conifer’s filings with the SEC, including our latest Form 10-K and subsequent reports. Conifer specifically disclaims any obligation to update or revise any forward-looking statements whether as a result of new information, future developments or otherwise. In addition, a replay of this call will be provided through a link on the Investor Relations section of our website. During this call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the comparable GAAP financial measures are included when possible in our earnings release and our historical SEC filings. Statutory accounting data is prepared in accordance with statutory accounting rules and is therefore not reconciled to GAAP. We will conduct a Q&A session after management’s prepared remarks this morning. With that, I will turn the call over to Jim Petcoff, Executive Chairman and Co-Chief Executive Officer. Jim?
Jim Petcoff: Thanks, Brian. Good morning, everyone. Also joining Brian and me on the call today are Nick, Harold and – Nick and Harold. As on previous calls, I will briefly highlight a few updates on our overall business strategy, and then hand it off to Nick for a deeper discussion of our underwriting results. Harold will then cover the financials and we will open it up for questions and answers. As we announced earlier, Conifer recently closed two significant strategic transactions that we believe will help position us for stronger near-term results and improved and sustainable profitability going forward. Effective October 1, the company completed an asset purchase agreement with Whitetail Insurance Services, a subsidiary of Acrisure. With that sale, we were able to monetize certain assets of our MGA Venture Agency Holdings. That completed sale is especially relevant when considering the second completed transaction. The purchase of a Loss Portfolio Transfer reinsurance agreement with Fleming Re, the monetization of our agency asset more than helps pay for the upfront costs of the executed LPT agreement. Both transactions were completed in the early fourth quarter. Accordingly, they will be reflected in our fourth quarter financials. The executed LPT agreement will provide us with an additional $20 million of adverse development cover for accident years 2019 and prior. This transaction should provide more than ample support for our reserve position. The LPT is expected to effectively minimize the impact of any ongoing legacy reserve drag that we have experienced from those applicable accident years, opening the door to profitability for our company. In conjunction with executing the MGA asset sale and the LPT purchase, profitable premium growth remains top priority. Over the last several years, we have experienced consistent top line growth, and we expect to see similar growth for the year and next. In addition to rationally growing our best performing lines, we also remain steadfastly focused on streamlining expenses through a number of ongoing initiatives. These efforts are proving successful as we have seen the expense ratio continue to decline consistently over the past few quarters. Further, we expect to see these outcomes persist through the rest of 2022 and beyond. As a result, we have made our near-term expense ratio goal of 35%. Given the considerable performance improvements exhibited in our business mix, coupled with the expected removal of legacy drag on our reserves. We feel we are even more confident that the same for profitability is imminent. And we are now clearly on the path toward delivering profit for our shareholders. With that, I am going to hand it over to Nick for more color on our under.
Nick Petcoff: As Jim noted, we are gratified to see the continued strength of our current premium mix developing favorably over time. We have demonstrated our ongoing commitment to underwriting discipline through a series of planned refinements to our book of business and we are confident that the expected improved outcomes will ultimately validate our ongoing underwriting efforts. The significant majority of our gross written premium continues to come from commercial lines where we have focused particular effort on increasing the profitable premium generated by our small business group among others. In fact, while we’re enjoying growth in premium on the full year, it is extremely important to reflect the role that rate has played in that expected growth. We continue to enjoy a strong rate environment, especially in our niche E&S products. Roughly half of the expected increase in premium for the full year will be as a result of strong rate achieved across the book. Overall gross written premium was roughly $33 million for the third quarter, basically flat for the quarter year-over-year. It’s definitely worth noting that when we exclude deemphasized lines of business from the calculation, quick service restaurants, for example, our total gross written premium actually increased almost 9% over the same period in 2021. Regardless, our gross written premium for the 9 months was up roughly 5% for the period, and we do expect it to be up for the full year as well. New business submissions continue to roll in as commercial opportunities recover from previous COVID-driven levels. Admittedly, we remain cautious on the new business side as we continue to see high existing renewal retentions persisting around 90%. We would rather get another chance to re-underwrite a good piece of existing business versus just adding new premium for premium’s sake. Thankfully, a high retention rate remains a favorable constant for some time now and allows us to further refine and underwrite our book with each renewal. Even though we are achieving solid rate increases on our book, in today’s underwriting environment, geographic mix is becoming ever more important. Certain jurisdictions like Florida, for example, have become extremely problematic in which to write. As a result, we continue to refine our geographic business mix and overall geographic spread. For example, we have reduced our exposure to the state of Florida by roughly 57% since 2018. With further planned reductions in Florida for the next year as while we expect premiums to be down almost 70% in the state. Conversely, in terms of reaching deeper into our core specialty lines and selectively expanding our premium base, we continue to increase market share in key geographies like our state of Michigan , which since 2018, has seen our premium base more than double. In fact, Michigan continues to account for a sizable proportion of our top line as well, representing more than 25% of gross written premium in the third quarter of 2022. Going forward, we are most likely to find profitable growth opportunities through continued expansion in Michigan and other demonstrably favorable geographies. We know that our best business outcomes result from select specialty niche markets and specific and defined favorable geographies where we can achieve sustained positive underwriting performance by maintaining a disciplined and tight focus on those markets and geographies. Our personal lines business, which consists principally of low-value dwelling products continues to represent a growing share of overall business at 16% of total gross written premium for the third quarter. Personal lines gross written premium was up almost 42% from this time last year at $5.5 million for the third quarter. While our personal lines business is geographically well dispersed, we’ve seen particularly strong growth in expanding markets, such as in Texas and Oklahoma, which continue to perform well. In our efforts to reach our profitability goals, solid underwriting must be coupled with thoughtful claims adjudication. In that light, we are constantly reviewing our expected case reserving and trying to match reserves as closely as possible to ultimate. As Jim discussed already, we have remained resolutely focused on strengthening our reserve position overall and reducing future claims exposure. In that light, we were pleased to see continuing favorable claims trends. For example, total claims in Q3 2022 were down 6% from a year ago, down 13% for the same period in 2020 and down 27% from Q3 2019. For quick service restaurants, in particular, open claims are down 51% from the third quarter of 2021, down 72% for the same period in 2020 and down 78% from the third quarter of 2019. As these favorable claims trends continue and as we see the positive impact of our strategic decision to limit future development through the purchase of the LPT, we are excited to see the hard work and effort play out in our financial results in the near-term and over time. With that, I will turn the call over to Harold to discuss the financials.
Harold Meloche: Thank you, Nick. I’ll provide a quick review of the results, and I encourage investors to review our filings and presentation on the company’s website for greater detail. In the third quarter, gross written premiums decreased just under 2% to $33 million. With Jim and Nick having detailed the premium breakout, I will focus on our underwriting results. Conifer’s combined ratio was 106.5% in the third quarter, largely unchanged from 106.9% during the same period last year. Our loss ratio was 67% compared to 65% in the third quarter of 2021. In commercial lines, where much of the development mitigation efforts were focused, the loss ratio was 64%. And the personal lines loss ratio was 79% for the quarter for the third quarter of 2022. Overall, our current accident year combined ratio was 94% in the third quarter of 2022, largely unchanged from the prior year period. Moving to our expense ratio, we continue to see improving results from ongoing expense reduction efforts, coupled with additional net earned premium growth. Accordingly, our expense ratio improved to 40% this quarter, down 240 basis points from 42% for the same period last year. As we continue to drive efficient cost savings initiatives, we believe the expense ratio improvement is sustainable through year-end and moving forward as well. Our expense ratio for the 9-month period was 38.8% compared to 42.7% in the prior year period. As Jim mentioned earlier, our expense ratio target remains 35%. Net investment income was $860,000 during the third quarter compared to $514,000 in the prior year period, up 67% on higher reinvestment yields. While net realized investment income was flat during the third quarter of 2022 compared to net realized investment losses of $101,000 in the prior year period. We also recorded a $151,000 decrease in fair value of equity investments in the third quarter. Our investments remain conservatively managed with the majority in fixed income securities with an average credit quality of AA+, an average duration of 3.4 years and a tax equivalent yield of 2%. Overall, the company reported a net loss of $1.5 million or $0.14 per share for the quarter compared to a net loss of $1.2 million or $0.12 per share in the prior year period. This quarter, Conifer reported an adjusted operating loss of $1.4 million or $0.13 per share compared to an adjusted operating loss of $1.7 million or $0.18 per share for the same period in 2021. Moving to the balance sheet. Total assets were $286 million at quarter end, with cash and total investments of $179 million. Our book value at quarter end was $1.32 per share, and we have $1.69 per share in net deferred tax assets that due to a full valuation allowance were not reflected in book value. And with that, I’d like to turn it back over to Jim for closing remarks.
Jim Petcoff: Thanks, Harold. Thanks Nick. In the quarter, we took major steps towards addressing our reserve position and walling off prior year development. And while we certainly have more work ahead, I’m encouraged by the significant improvements to our mix of business. The results we’ve achieved to date and ongoing expense reductions. Based on our achievements to date, I’m confident that we’re moving in the right direction. I fully expect to see continued success for the balance of 2022 and beyond. And now we are ready to take questions.
Operator: [Operator Instructions] The first question comes from Paul Newsome of Piper Sandler. Please go ahead.
Paul Newsome: Good morning, and thanks for the call. I was hoping you could help me just a little bit more on the – how the sale of the MGA as well as the loss portfolio transfer will impact the income statement prospectively. And maybe we could start with the MGA. Presumably, there was some revenues associated with that as well as potentially some profits. And how was that shown in the financial statements historically?
Jim Petcoff: Well, first off, that’s obviously a Harold question, not a Jim question, but they didn’t occur until the fourth quarter. So they are going to be shown in the fourth quarter, but they did happen. So Harold I’m sure you’re prepared for that question.
Harold Meloche: Yes. So starting with the sale of the MGA assets, that was within a company called Venture Agency Holdings that we only own 50% of and did not have control over. So it was not consolidated in any of our numbers. So you won’t see it in our revenues or expenses. It just would show up as a one-line item, equity income from sub on the income statement at the bottom. And it was – that’s the only entity that we had that shows up on that line item. Now that’s also not all of the business that was in there, but it was a substantial portion of the business that was in Venture. So that’s that item. With regards to the LPT, we do expect to incur a $5.4 million expense in the fourth quarter. As we’re mentioning with regards to the sale of the assets, we expect over $8 million of net after-tax gain as a result from the sale. And the LPT will cost us about $5.4 million. So other gains in the fourth quarter which is where both will fall into will net to a positive gain.
Paul Newsome: That’s fantastic. So, it looks like the MGA was running – the equities and affiliates was running somewhere around $800,000 a year, so that would go away, right? And then hopefully, the – you won’t see perspective unfavorable reserve development. Is that the thought here in terms of how it would affect the results?
Jim Petcoff: In the future, as Harold said, we do not sell all of the assets. In the short-term, as we’re growing the rest of that agencies, we expect to be profitable in the near-term and expect that to continue to grow. So it won’t be as profitable right away, but we would expect that to be as significant of a return as we got on the sale of the assets that we sold long-term.
Paul Newsome: Got it. And then just any thoughts about the improvements you’re hoping to get in the expense ratio prospectively? And how that may – is that more back-end loaded? Is it more front-end loaded? How should we think about that?
Jim Petcoff: Well, since it’s just us and we’ve known each other a number of years. I’m always confused on DAC and our last expense ratio went up in this quarter. But for the year, we expect it to be at 38.5%. And it has something to do with the commissions in the quarter versus – it must be a seasonal writing of different groups. But at 38%, we expect that to go down. We made significant expense reductions during the year that have not all had a full year to kick in. As an example, we changed our location and downsized our space, as I would assume a lot of companies have done since the change in the way businesses operate. And we expect to see some savings for that, whether it’s 25 basis points or 50 basis points on the expense ratio, I don’t know. But it’s going to be something meaningful. And that’s just one of a bevy of things that we’ve done. So when we say we think 35% is attainable, we do think 35% is attainable. If we continue to grow at the modest rate, we’re growing, and we continue to have our expense reductions, we expect that to continue to tick down. I guess I’d look at it as an annual because if you hold us to quarterly, it’s going to vary. But on an annual basis, from 38.5%, we expect it to tick down next year.
Paul Newsome: Great. Thank you, always appreciate the help.
Jim Petcoff: Thank you, Paul. Good to hear from you.
Operator: This concludes our question-and-answer session. I will now turn the conference back over to Jim Petcoff for any closing remarks.
Jim Petcoff: We made some significant changes during this quarter. We’re well positioned. ‘19 and prior should not be hurting us a lot in the future. We do have a little bit of a corridor. So you might see something coming in the form of development, but the corridor is slim right now. And we expect things to continue to improve, and we are very pleased with the book of business we have right now. So thank you for taking the time, and look forward to talking to you next quarter.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.